Alex Pierre Bolis: Good morning, ladies and gentlemen. Alex Bolis speaking. Welcome to the Telecom Italia Group Third Quarter 2014 Financial Results Conference Call. This is Alex Bolis speaking. Mr. Marco Patuano, Group Chief Executive Officer, will introduce to you the third quarter 2014 figures, as well as the progress on our Group operations. Piergiorgio Peluso, Group Chief Financial Officer, will then present to you an update on Group financials. A Q&A session will follow. Our TIM Brasil CEO, Rodrigo Abreu, will be following us by phone and will be available to take your questions. Our Chairman, Mr. Giuseppe Recchi is also here with us today. I would like to remind you that this presentation contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those in the forward-looking statements as a result of various factors. Analysts are cautioned not to place undue reliance on those forward-looking statements, which speak only as of the date of this presentation, and are encouraged to consult company’s periodic filings, which are filed with the United States Securities and Exchange Commission. As usual, this event is being recorded and all participants will be placed in a listen-only mode during the company’s presentation. After TI’s remarks, we will be pleased to take your questions. There is a simultaneous webcast that may be accessed through the company’s website, www.telecomitalia.com. The slide presentation may be downloaded from that website as well. And of course, feel free to view the slides throughout the conference call. Marco, over to you.
Marco Patuano: Thank you, Alex. Good morning, ladies and gentlemen. Our Group results enjoyed a positive progression this quarter, in the meantime across all our main markets, innovation started to pay off allowing us to confirm the expectation for a better second half that we shared with you during our August conference call. On Slide 4, we can see how the combined trends underlying our Italian and Brazilian operations have delivered a quarter-on-quarter improvement for both consolidated revenues and EBITDA. Mobile service revenues in Italy have been our best performer with more than 6 percentage point of recovery year-on-year. We recorded improvements also in fixed services, thanks mostly to our broadband strategy, both on fiber and ADSL. In Brazil, we are constructively using voice bundling and broadband VAS to expand outgoing revenues, while the MTR cuts are impacting our total service revenues. Savings are effectively supporting our EBITDA performance. We’re increasing our mobile broadband expansion across the whole country, with a robust investment strategy and a solid commercial deployment. Our future would be further supported by the new 700 megahertz frequencies we successfully bid for. The results are; Group service revenues improved their year-on-year performance at minus 5.7% in Q3 versus minus 7.1% in Q2. Consolidated EBITDA was EUR 2.2 billion. The domestic component net of one-off items which are impacting this quarter is progressing towards a full-year improvement. Brazilian EBITDA outperformed in line with previous quarter. Innovative CapEx continues to be our at most priority, and are supported by systematic efficiencies in traditional technologies, as I will detail you shortly. Net financial position as of September 30 stood at EUR 26.57 billion, showing a reduction of EUR 235 million from year-end 2013, and EUR 786 million versus the prior quarter. The Argentina disposal process has been accelerated, thanks to a restated agreement with Fintech. As of October 29, we already cashed in the second tranche of the sale for a total amount of US$216, together with the cash collateral supporting the remaining portion still to be completed for US$600 million. The cash collateral is already in our Group treasury position. While the full disposal process is ongoing, Telecom Argentina successfully participated in the recent spectrum auction and was awarded an optimal mix of 3G and 4G frequencies, a very important event for this company. Let’s now take a closer look at our domestic performance on Slide 5. It gives you an overview of our domestic service revenue progression since the first quarter of 2013. During this period of time, Telecom Italia had to deal with last year’s negative environment, but now, is on an accelerating quarter-on-quarter recovery path. We are ready to deliver further improvements from the losses to minus 6.2% year-on-year level. The breakdown between fixed and mobile shows a positive trend on both sides of our domestic operations. As we will take a deeper look into our Italian top line later in this presentation, let’s now move to the domestic EBITDA. On Slide 6, we point out how third quarter domestic EBITDA was impacted by a number of non-recurring items generating a reported performance of minus 11.6% year-on-year. As you know, since the beginning of 2014, we no longer normalize organic EBITDA for non-recurring items, but only for Forex exchange and change in perimeter. This certainly simplifies its full-year reading, but requires some additional explanation when we look at the quarterly figures. In this quarter, the non-recurring items negatively impacting EBITDA for an overall amount of about EUR 60 million are; on cost of labor, we had an overall EUR 30 million impact coming from one-off charges related to stock incentive plans for employees and management and the effect this continues salary increases linked to productivity, which allowed us to insource activities. On provisions, we had to account for some regulation termination disputes, in order for remaining about EUR 30 million. Furthermore, since the beginning of the year, we fully expensed handset subsidies formally considered CapEx. The related impact on the performance of this quarter is EUR 40 million. If we strip out these items, we can appreciate an improvement versus first half in the underlying EBITDA trend. This quarter, the comparable EBITDA performance was about minus 7% year-on-year. Further upside is expected for the fourth quarter, since on a reported basis, we forecast a negative mid-single-digit EBITDA performance. Piergiorgio will further elaborate on the underlying cost evolution. Let’s now move on to represent the role that innovation increasingly plays on our domestic business model, both for CapEx and revenues. Our results are now making a clearer and clearer that investing in fiber and LTE is the key driver to improve our domestic performance. There is a tight relationship between our progress in innovative CapEx and the growing percentage of revenues that we are getting from broadband and VAS content, both on fixed, mobile and ICT. Let’s start with investment. Nine month innovative CapEx grew by EUR 102 million year-on-year, increasing their weight on total network CapEx to 37%. The increase in innovative CapEx is more than fully financed by our efficiency program, an important driver to contain the cost of innovative technology is our fixed passive infrastructure sharing. We have already spoken of our agreement with Enel, the leading Italian electric utility, but during this year, we have signed some other 60 agreements, involving both, a number of smaller local utilities and larger players, such as the multi-utility ACEA, based in Rome. Just to give you an idea of what we save with these sharing agreements, the cost of our civil works for laying out fiber currently is EUR 86,000 per kilometer when we need to dig and against only EUR 6,000 if we have passive dots are already in place. Also the expansion of mobile innovative CapEx benefits from the funds coming from saving performance programs. The sharing of mobile network passive infrastructure with other operators is progressing, delivering continuous efficiencies. We are reinvesting the savings, supporting a continuous push on innovation. We just launched LTE Advanced service in 60 Italian cities, featuring download speeds of up to 180 megabits. Overall, domestic company performance further benefits from continued efficiencies, yielding total savings for EUR 197 million in the first nine months. In the chart, you can find the split of the total savings amount four main components; traditional network, IT, commercial and others. Nine month CapEx reduction from our new approach of handset subsidies amount to EUR 138 million. Our strong bid on innovation allowed us to further increase domestic NGN and LTE roll-out in the third quarter. Our fiber deployment has most recovered the first 100 cities of the country and we are now speeding up our medium sized cities across Italy and [indiscernible] subsidized areas. At the end of the third quarter, we have already covered 27% of the country with fiber, reaching more than half of our 2014-2016 original target. Fiber take-up rate gives us a supportive signal for the future. At the end of third quarter, we had more than 150,000 VDSL retail customers, and we are now selling an average of more than 500 new contracts per day. Our plan is to accelerate the fiber coverage increasing the sellable areas, and at the same time, pushing again on adoption by temporarily reintroducing the EUR 29 per month for six months broadband. I would also like to take the opportunity of this conference call to announce the launch of our new open fiber offer. Open fiber is an important commercial proposition we launched in order to encourage the wholesale acquisition of our Fiber-To-The-Cabinet infrastructure by the entire OLO market, discounting the price per fiber line in exchange of a firm take or pay commitment on significant volumes over time. We have already registered a strong interest from some OLOs for our open fiber offer. And we foresee to activate about 0.5 million fiber lines to be delivered to OLOs in the next three to five years. LTE is now covering 74% of the population, well above what we planned for the full-year 2014. We decided to further accelerate, since LTE is proving to be a very strong differentiating factor, more than what we had thought a couple of years ago. Overall mobile data average demand per month is now above 80 mega, whilst the entry level data bundle has been progressively decreased and now stands between 500 mega and one giga. Once customer moves to LTE, usage further increases and average month of data jumps to over 1.2 giga, potentially calling for a data plan upsizing by a good half of our customer base. In order to simplify the acquisition of extra data, in September, we introduced smartphone top-up application, which allows customers to increase his data pack with a simple click. We just started and such reloads are running at a rate of more than 50,000 per week. It is EUR 5 for one additional giga lasting one month. On Slide 9, we illustrate the full breakdown of our quarterly evolution in mobile revenues. After eight consecutive quarters of double-digit mobile service top line year-on-year reduction, our 6 percentage point improvement in the third quarter of 2014 stands out as the best quarterly uptrend ever recorded by TIM. While 2 points of the recovery came from the end of the MTR drag, the rest are all from our better operating performance, in an overall healthy market environment that we contributed to building in the last year. We made innovation happen. We also progressed in our strategy of data rightsizing. In just over one year, our entry level one giga bundle moved from EUR 10 to EUR 19. In August of 2013, our entry level bundle was two giga. There is a better tone also coming from our business cluster that is showing a stable value of service revenues since the beginning of the year. Also in the top segment, the competition has slowed down its value destructive behavior. We are seeing these overall positive trends progress into the fourth quarter, which we believe will show another sharp improvement in service revenues. On Slide 10, we now enter the fixed business territory, a very relevant segment for Telecom Italia. Again, it is a story of innovation starting to yield value, creating the best weapon to manage erosion on traditional services. Let’s articulate this point. Our current main achievements come from flatization. Tutto stands out as our most successful offer along this line, involving both, ADSL and fiber bundling with unlimited domestic call on both, fixed and mobile. In one year, we built up about 1.2 million clients on this simple dual play offer. Then comes convergence. Even if we started in April with our smart bundle, we’ve been very careful in avoiding unnecessary value cannibalization through a CRM approach. We started very prudently and we are now ready to accelerate. TIM SMART creates a more compelling offer on traditional and basic data, but is proving to be ARPU accretive. We aim to pave the way back to ADSL for households that have gone mobile-only for data. We want to accelerate flat fixed voice offers and access a larger share of Italian households’ wallet, while reducing their mobile churn to levels of the fixed. Video content has yet to come, but as you know, the market is heating up and will play a pivotal role in our future programs. So let’s look at figures. We really need to focus only on two main trends to grasp this quarter improvement. First, in traditional services. In third quarter, our year-on-year trend moved to minus 10.1% compared with minus 13.1% of the previous quarter. From fourth quarter onwards, this better path will be further supported by our monthly retail fee increase of EUR 1 to EUR 18.5 effective from November 1. And second in broadband, VAS content and ICT. Service progression moved to plus 3% year-on-year from 1.8% in second quarter and a flat performance of Q1. If we move the total fixed revenue analysis, we need to mention that for the top class of our business segment, ICT performed well, posting a 15% growth year-on-year in this quarter, also on the back of strong sales of enablement equipment. After a prolonged spending revenue period, corporate seems to have started again to a large contract size. Let’s now take a quick low at Brazil. Slide 11. Despite a more challenging environment, TIM Brasil business generated revenues, posted a sound 5% growth year-on-year. Strong adoption of new data plans and successful launch of new VAS offers, underpinned the strong acceleration in data and content-related revenues, now growing at a pace of 50% year-on-year. While service revenue dynamics felt again the MTR cut and lower SMS volume, our strategy continued to support strong EBITDA performance, which shows a plus 6% year-on-year in the third quarter. Latest figures confirm leadership on prepaid, a traditional area strength of TIM, where we are gaining further traction. Our Infinity Day offer covers now 87% of the country, and since last week, it’s also available in Parana, Santa Catarina to core regions for TIM. We are working on postpaid with renewed focus, leveraging on our innovative Liberty Express offer, which includes data and off-net minutes in the bundle. We are now also on air with new data sharing packages available on up to four SIMs. Current 44% penetration of smartphones in our customer base against 25% one year ago, offers now a higher upside for our data-centric strategy. Today, TIM has a growing number of unique internet users in excess of 32 million on its network. In Brazil, we continue investing in our mobile broadband plan. We will also benefit from a strong increase in LTE coverage coming from the new 700 megahertz frequencies. Piergiorgio will now give us some financial highlights on the Group, and will update us on towers, frequencies, disposals and others. Piergiorgio, please up to you.
Piergiorgio Peluso: Thank you, Marco, and good morning to everyone. On Slide 13, we briefly review Group operations for the third quarter of 2014. Group revenues stand at EUR 5.4 billion, down 4.9% year-on-year in organic terms in this quarter, improving 2 percentage points versus second quarter 2014, when it closed at minus 6.8% year-on-year. As Marco already told you, this performance was driven by the positive trend in the domestic business. Consolidated EBITDA is more than EUR 2.2 billion for the quarter, down 8.5% year-on-year in third quarter organically, mainly impacted by discontinuities in domestic reach, as you already saw, need to be normalized to represent underlying EBITDA trend. Group CapEx amounted to EUR 933 million, 66% of which in the domestic business was innovative network component in the first nine months of 2014, grew by 8 percentage points versus the same period of last year. In commenting our Group CapEx third quarter organic performance of minus 12.5% year-on-year, we must keep in mind, both efficiencies in our new handset subsidy approach in Italy. Finally, EBITDA less CapEx clears at EUR 1.3 billion allowing for a sound operating free cash flow generation, that I will further detail shortly. Moving now to Slide 14, we first of all highlight how so far this year against our current 2014 OpEx efficiency target of EUR 200 million. We posted a positive contribution worth EUR 348 million. Two main areas of our domestic operations contributed to these results. Market and customer-driven, which yielded EUR 102 million year-on-year reduction from commissions, advertising and customer care; and process and asset-driven, which delivered a further cost reduction of EUR 246 million. We point out that this overall figure includes the reversal of the Sparkle provision registered in the second quarter 2014 for EUR 71 million. In the better comparison effect deriving from the accrual of a EUR 84 million provision related to the A428 antitrust procedure in second quarter ‘13 that was fully paid in June this year. So if we only consider network criteria [ph] and G&A efficiencies from the process and asset-driven cluster, the related recurrent saving for the first nine months amounts to EUR 91 million. Adding this figure to the EUR 102 million coming from the market and customer-driven area, we obtain a total of EUR 193 million year-to-date against EUR 200 million targeted for the full-year with still one quarter to go. Let’s now quickly take a look at labor costs, which as you know, are not part of our efficiency target. This important cost item only declined by EUR 11 million year-on-year in the first nine months, since it was adversely impacted a worse comparison on our solidarity measure from the second quarter onwards, as these measures were introduced in April 2013, and affected by the new stock incentive plans charges for both employees and management, which were booked for EUR 17 million in the third quarter, and by this continued salary increase linking to increased productivity and insourcing. Meanwhile our transformation programs are proceeding in the IT area, in addition to the relevant CapEx savings that Marco has already presented to you. We are reducing the number of systems, while investing to support our offer simplification and to create more significant running OpEx efficiencies in the longer term. On real estate, after some quick wins, we are engaging in a more structural plan aimed at rationalizing office space, buildings and switching stations with important – with significant efficiency implications also for our network. On Slide 15, we look at our operating free cash flow generation. At TI Group level, I would like to point how our nine month performance remains robust at EUR 2.3 billion. Working capital performance is absolutely in line with the previous year, showing a difference of only EUR 29 million. The operating free cash flow trend picks up quarter-on-quarter, as already seen in 2013, and aims its further improvement in the next quarter. Moving on domestic, the quarterly progression is particularly evident as shown by the ratio on revenues that visibly improves from 13% in the first quarter to 25% in the third quarter. Also for Brazil, we are enjoying a similar progression, underpinned by a positive EBITDA performance that was again visible in this quarter. This overall positive performance has driven our debt reduction as of September 30, as we will see on Slide 16. As you know, TI typically steps up its debt reduction performance in the second half of the year. On Slide 16, we show the full bridge between yea-end ‘13 and nine months ‘14 net financial position. This shows a net improvement of EUR 235 million, outperforming the comparable reduction of the previous year, notwithstanding the drag EUR 234 million coming from the impact of the peso devaluation in Argentina’s cash position on a year-to-date basis in 2014. In the last quarter of the year, our Group operations will support further important leveraging. As for the newly awarded Latin American spectrum, we are currently in procedural discussion with the relevant authorities, and so we cannot currently anticipate the amount of their impact on our Group net financial position by year-end. We can reassert is that the cash out for our future spectrum payments in Brazil will be compensated by the proceeds of our tower sale, and the forthcoming frequency payments in Argentina have already been partially compensated by the second tranche of the Telecom Argentina sale we cashed in at the end of October. Furthermore, I wish to remind you that liquidity-wise, we have already benefited from the US$600 million cash collateral, which is already in our Group treasury position. Let me give you an update now on our main extraordinary transactions. Starting from Italy, we look at towers. While the process has been underpinned by its deterioration of a tower division within Telecom Italia and advisors have been appointed to find a best way to proceed, the main goal here is to maximize the value of our portfolio, which stands out for being the largest one in Italy. That’s why we are paying great attention to other transaction involving similar assets that have been announced, as we are in a cross-wave for a possible combination. Talking about the TI Media Persidera disposal process, info memos are out, while the regulatory framework is evolving, the strategic value of our portfolio framework is concerned, is the largest one in its segment. Moving to Brazil, we are satisfied with the outcome of the frequency auction, as TIM Brasil secured for its further 4G roll-out plan, the best fitting 700 megahertz lot, at an overall cost in line with the best expectations. The tower sale process we have been working on is in its final stage now, and we are expecting the definitive agreement to be executed by the end of this year. The Argentina sale process is on its way to be completed, following our restated agreement with Fintech, further US$216 million have been cashed in on October 29 contributing to our debt reduction. Furthermore, we acquired US$700 of cash – sorry, US$600 million of cash collateral by issuing a bond fully subscribed by Fintech. Our position is further supported by US$175 million break-up fee. Given the peso devaluation, if we translate 2014 expected EBITDA into US dollars, we derive a 6x enterprise value EBITDA multiple, underlying our full sale price of US$960 million agreed upon in November 2013, of which, we already cashed in US$329 million to-date. Therefore including the cash collateral, we have already cashed in to-date, a total of US$929 million. As for Argentina, the latest frequency auction ensures the company with needed availability of key 3G and 4G frequencies. As already mentioned, procedure and payment terms still need to be finalized. This overview completes my presentation. And I hand it now back to Marco for his final remarks.
Marco Patuano: All right, time to wrap up. The better second half trend we had anticipated for our domestic market has become a reality. We overcome a fierce price war, contrasting the arguments of those who predicted that competition in the sector would be based solely on constant price cuts, which would have brought nothing, but a decline. We have replied with our quality of service base policy. Our NGN plan is bringing concrete results. 4G has become a strong differentiating factor versus competition, and it is becoming a daily use. Brazil is substantially enlarging its firepower of mobile broadband and will further accelerate its investment process in this direction, putting into use the new LTE frequencies. Our strong growth in data and content-related revenue speaks clearly of value generation. Our Group is relaunching its entire business by building and selling innovation, with a key support of efficiency and transformation, financial discipline and rational approach in M&A will remain key. Thank you very much for your attention. Alex, back to you.
Alex Pierre Bolis: Thank you, Marco. We can now start our Q&A session. I would like to ask kindly to ensure maximum participation that everybody who is going to participate poses only one question so that most participants can join. Thank you.
Operator: Ladies and gentlemen, the Q&A session is now open. (Operator Instructions) Thank you. First question comes from Mr. Nick Brown from Goldman Sachs. Mr. Brown, please.
Nick Brown – Goldman Sachs: Thanks. If the domestic mobile trends continue to improve, has pricing in the market come down to a level now where you think with 4G and bundling, you think you can get back to revenue growth? Thanks.
Alex Pierre Bolis: Marco will take this one.
Marco Patuano: Yes, sure. I think you’re right. The market now is trending up. We are over-performing the market trends in mobile, but the whole market I think will recover. And I think that now is realistic to imagine to reach the parity and the stabilization too.
Nick Brown – Goldman Sachs: Thank you. If I could just follow-up. Given domestic trends improving, is it necessary for you to stay in Brazil at any cost, or do you stand by your previous statement of that price revenue?
Marco Patuano: Well, I am almost tried to say that there is a price for everything, but our cost strategy is to stay there. So it’s a nonsense to say that there is no price for an option. There is always a price for an option, but our plan A, is to stay with our operation as we have.
Nick Brown – Goldman Sachs: Thanks.
Alex Pierre Bolis: Thank you very much, Nick. Next question please.
Operator: Next question comes from Mr. Georgios Ierodiaconou from Citigroup. Mr. Ierodiaconou, please.
Georgios Ierodiaconou – Citigroup: Yes, hello, and thank you for the question. I’ll limit it to one, and if you don’t mind, I also want to ask a question around Brazil, denoting the price, because obviously that’s one parameter. What are the other considerations you have before you would consider selling out of TIM Brasil? So if the pricing is right, what other conditions has to be there for you to be comfortable that this is credible deal available to you and you’re not going just wrap the business without reaching agreement in the end? Thank you.
Marco Patuano: Well, the precondition to sit at the table is that the offer meets the demand. So this is absolute a precondition. I think that now there are a good number of benchmarks on deals in Brazil. So I think that whoever wants to approach us, has to face this benchmarks. Then there is a matter of risk. So in case, somebody wants to approach us, he has to be fully aware that execution risk would never stand on our side.
Alex Pierre Bolis: Are you happy with that Georgios. Can we move on?
Georgios Ierodiaconou – Citigroup: Yes, if I could ask clarification. Obviously there is a lot of regulatory and other execution risks that will probably be consideration for you. Is there a threshold at which you are willing to still proceed, or any execution risk is out of the question for you?
Marco Patuano: As I told you, execution risk of a potential deal which could include regulatory measures, is something that is not a problem that can be transferred to somebody who wants to stay. So if somebody wants to buy us and a potential risk is out there, so the one who makes the offer has to come with a solution also for regulatory risks, that it cannot just be transferred onto us. Thank you.
Georgios Ierodiaconou – Citigroup: Very clear. Thank you.
Alex Pierre Bolis: Thank you, Georgios. Next question please.
Operator: Next question comes from Mr. Luigi Minerva from HSBC. Mr. Minerva, please.
Luigi Minerva – HSBC: Yes, good morning. Thanks for the question. It’s on regulation. The new Commissioner, Oettinger, seems to have a very clear pro-industry agenda. He speaks about the need to enable companies to become more profitable. Is Italy taking this approach on board, particularly AGCOM with their flat ULL rates proposal that will give you confidence for your fiber deployments? Thank you.
Marco Patuano: Marco speaking. Yes, regulation plays a role that is crucial in our industry. What I think is that a European approach is more and more needed. I think that if we want to act as a large innovative platform, we cannot continue to stand country-by-country with regulatory specific indications. More concrete, I think that the agenda of any government is willing to boost investments and not any kind of investment, but investment in innovation. I think that this is something that should set an important reference mark also for AGCOM, and I am fairly confident that AGCOM will move towards regulation that supports investments.
Luigi Minerva – HSBC: And from your dialog with them, do you see concrete signals that they are moving more towards the EU direction?
Marco Patuano: Yes, I am in constant dialog with the authority in Italy. We have started a dialog at European level, also together with the other large incumbents. So a very important move towards this direction is important. Yes, we are.
Luigi Minerva – HSBC: Okay, thanks a lot.
Alex Pierre Bolis: Thank you very much. Next question please. Thank you.
Operator: Yes sir. Next question comes from Mr. David Wright from Bank of America. Mr. Wright, please.
David Wright – Bank of America Merrill Lynch: Thank you very much, and thank you for taking the calls – questions. Just on the broadband ARPU. I just wanted to understand a little more. It grew I think it was 3.9% also year-on-year. Now obviously you added NGN SOPs, but you lost overall retail SOPs. So I suspect there is a bit of blending of towards the broadband ARPU there, but if you could just talk us through how that number is growing. It’s obviously been – the growth has been accelerating all the year. It’s gone from 1.8%, 2.3% to 3.9%. How should we continue to look at that? Thank you.
Alex Pierre Bolis: Marco will take this question. Thanks.
Marco Patuano: Yes. The broadband ARPU increase comes from several factors, very, very sound and very sustainable. I would like to simplify only three. One is, upgrade to more performing price schemes, like more performing offer, moving not only to fiber, but moving also to ADSL of higher speed. This is something that we constantly see and it’s accelerating together with the coverage of ultra-broadband. Just to give you a reference number, the number of daily activation of fiber in July was 1,000 a day. Today it’s constantly above 1,500 a day. So this is important. This figure in October is even higher. So it’s a trend that is continuing. Second, I think even more important that tends to be not very much perceived is that we still have in our broadband customer base, customers without a flat offer. I mean customers who bought the broadband several years ago and still pay on pay-per-views. So I am referring to what we call, on chart 24 of the presentation, free ADSL. They are not free, they just use on a pay-per-hour for example. One year ago, we had more than 700,000 customers and now we have 0.5 million, so 200,000 have been moved from free to flat, with a significant increase in ARPU. And then, the last one is that, we are progressively expanding the number of customers that buy additional services. Additional services can be for the consumer market just potentially contents, but much more important on the corporate segment, what we see is that small and very small companies start to buy basic ICT services that need a better ADSL connectivity, so this is extremely helpful and this supports the broadband ARPU. So I think that what we see is a solid trend and we can count on it in the future. Thank you.
David Wright – Bank of America Merrill Lynch: That’s very useful. Thank you.
Alex Pierre Bolis: Thank you, David. Next question please.
Operator: Next question comes from Mr. Giovanni Montalti from UBS. Mr. Montalti, please.
Giovanni Montalti – UBS: Good morning. Thank you. Could you just share with us an update about your CapEx guidance for 2014, and if possible, also for the next three years, both for the domestic and Brazil, if possible? Thank you.
Marco Patuano: I confirm – it’s Marco speaking. I confirm you the guidance for 2014. The fact that in 2014 we have been able to build more infrastructure than the original plan is totally self-financed by a fantastic work that our engineers and our purchasing department made together. So we confirm in terms of money spending, the same amount, and in terms of volumes, a wider coverage as I said during my conference call. I think that looking forward, we can imagine the same – we expand on Brazil later on. Italy, 2015 and forward. I think that the result we’re getting from making more investment is very good. So we are deeply and heavily working inside, while we are preparing the business plan for 2015-2017. If it could make sense to have an approach with more innovative investments, that I personally consider very interesting. Mostly in the fixed, since in the mobile most of the work has already been done, and of course there is still a lot of coverage to make, but the original plan is a very good one. Brazil. Brazil, we have slightly accelerated in 2014. Again, more in terms of – we have definitely accelerated in terms of quantity. We have accelerated also in terms of money spending, but less than proportionally. Again 2015, we assume that this growth rate we are experiencing on data is something that make us evaluate a CapEx increase.
Alex Pierre Bolis: So looking for your question, Giovanni. Are you happy with that?
Giovanni Montalti – UBS: Just if I can, a very quick follow-up. Is it sensible to assume that there could be room for some saving versus the EUR 3 billion target for 2014, and maybe for ‘15, ‘16? I understand that you are more keen, in let’s say, bolstering investment and this is something that sounds very, very sensible to us, but looking at the progression so far in 2014, it seems that you might save something. Is this sensible or not? Thank you.
Marco Patuano: Efficiency is one of my manias. So I’m maniac of efficiency. And the answer is we reinvested most of the efficiencies we made this year. I think that reinvesting efficiencies is very safe in the future and give us also – the idea of having something to invest in is a good – creates a good mood for looking at further efficiencies, because if you have to say to your people, please save some money because we have to pay debt, it doesn’t create a great mood. But if you say to your people, come on guys, let’s save some money, we create more network, come on guys, we create a competitive advantage. It’s totally another story. So I see in the company people really excited for finding a way to invest more.
Giovanni Montalti – UBS: Thank you very much.
Alex Pierre Bolis: I think it was clear Giovanni. Thanks so much for your question. Next one please.
Operator: Next question comes from Mr. Nick Delfas from Redburn. Mr. Delfas, please.
Nick Delfas – Redburn Capital: Yes, thanks very much. My question is about costs, and it might be a little bit unfair because you don’t have any exceptional items unlike some other telco companies who release exceptional items in the hundreds of millions of euros. But in the phasing of the cost reduction, it seemed a bit stronger at the start of the year than in Q3. Could you talk a little bit more about how that phasing will continue in Q4 and into 2015, and what the main elements of the cost reductions are going to be? Thanks very much.
Marco Patuano: We recently made a very interesting – we participated to a very interested benchmarking program with our peers across Europe, and we seem to be fairly efficient. And so this is driving internally a discontinuous thought. So we cannot just look at more savings just doing the things in the same way at a lower cost, we need to do the things in another way. There are areas in any case, in which, benchmarking our operation towards the others, show areas of relative inefficient. For instance, in real estate, we are still fairly inefficient. In energy, we are fairly inefficient. In network maintenance, there are still areas of efficiency recovery. In IT recurring, there is – especially on mainframes, we still have area of efficiency. We can make further insourcing. We have identified more or less 2,000 people we can now locate in insourcing programs. So what I wanted to tell you is that we have a specific program and we created a specific organization, which tends to identify further areas of efficiencies, with a clear responsibility of an office and we call that transformation office. So I think that there are still good areas of work, we identified and we are going to work, also being coherent from the organizational perspective.
Nick Delfas – Redburn Capital: Okay, thanks very much.
Alex Pierre Bolis: Thank you, Nick. Next question please.
Operator: Next question comes from Mr. Mathieu Robilliard from Barclays. Mr. Robilliard, please.
Mathieu Robilliard – Barclays Capital: Good afternoon. Thank you very much. I had a question regarding network upgrade on fixed. Can you share with us, the kind of speeds how you’re getting, how you’re getting the same speeds under more recent upgrades and in the beginning basically, what’s the experience there and what’s the response from customers? And related to that, if I may, it seems that under OLO access KPIs, there is quite a bit of volatility in this quarter and quite a bit of full-year loss, but then gaining in the VDSL and NGN. Can you give us a little bit of color into how you expect the whole KPIs progress in the context of your new network roll-out, and are you seeing some increasing appetite for reselling your VDSL solution? Thank you.
Alex Pierre Bolis: I will repeat the question, because the first part was a little bit garbled. I guess the first part was speed upgrades, what is currently happening in the fixed network with our fiber plan? So comments on the speed available, and of course upgrades. Second part was OLO access. So what part are OLOs playing out in this overall growth of fiber? And I guess the third part was, how could you include in a way the OLOs or how are that impacting this VDSL game, which is happening in Italy? Was it right, Mathieu?
Mathieu Robilliard – Barclays Capital: That’s a great summary. Thank you.
Marco Patuano: So despite the fact that commercially speaking where selling the fiber with a cap of 30 mega, we could be ready to sell up to 70 mega without problems of losing quality with the customer base. Just to give you a number, in my house, without making nothing strange, I have 92 mega with FTTC. We are working very actively on solutions like VDSL 3, like FTTB. We are working on those solution but we are in a very standard phase. So we don’t – we are sure that we can do but it’s not for 2015. Another important element we have to keep in mind is vectoring. In Italy, every time we have core location of more than one player, the technology today do not allow us to introduce vectoring, because of the mutual interference that we create one another. We are asking vendors to provide us multi-operator vectoring equipment. It is still not there, but we’re working both with Alcatel and with Huawei in order to find a way to solve also this problem. In case of vectoring, we have made an experiment one city, one medium-sized city the City of Vicenza. We made full vectoring just to make an exercise. And the speeds are very close to 100 mega. So it’s already on field. It’s not something in the labs. It’s something we have already on field. I hope I’ve answered to your questions. OLO access. Well, there is a demand for subloop unbundling from some OLOs in particular FastWeb and we start to see some demand also from Vodafone. Of course the access between OLO and retail is absolutely the same. Performance depend just on the different electronics, the two operator decided to put in the site. We launched the open fiber. Open fiber is a way to stimulate the adoption of VULA solutions. The convenience for the OLO is extremely material. So we have a couple of large ones, who are engaging themselves with good quantities, and this is exactly what we are investing in.
Alex Pierre Bolis: Is it okay, Mathieu?
Mathieu Robilliard – Barclays Capital: Yes. And if I can just follow-up please. You’ve seen a decline of full ULL lines in Q3. Is that something that suggests that some of your OLOs are disconnecting ULL and then they are going to be moving towards [indiscernible]?
Marco Patuano: There is one operator who is heavily investing in local fiber, who tends to migrate ULL to subloop unbundling. And all the others are still depending significantly on ULL.
Mathieu Robilliard – Barclays Capital: Great. Thank you very much.
Marco Patuano: You are very welcome.
Alex Pierre Bolis: Thank you. Next question please.
Operator: Next question comes from Mr. Justin Funnell from Credit Suisse. Mr. Funnell, please.
Justin Funnell – Credit Suisse: Yes, thank you. Two – well, one question I suppose, maybe two sections to it. Back to the Brazil question, I’m just wondering how you look at the outlook for your business in Brazil and how it’s shifting? You have obviously seen the business slow down. On the other hand, you have won a 4G license. You’ve seen data accelerate. Oi has not got a 4G license or it has some debt challenges. I’m just wondering if you actually feel there is a need for consolidation or the market can repair anyway, just some of [indiscernible] the smaller guys falling behind. In a sense, is there a need to do anything in Brazil? And secondly, in fixed line in Italy, you are putting up the line rental. I think you said in the past, you might cut some of your call tariffs as well. I’m just wondering if you can give us a bit of guidance on what the effect on fixed line revenue trends – the year-on-year trends would be for Q4, when you make these price adjustments? Thank you.
Alex Pierre Bolis: I think the first question was very clear Justin. It was about consolidation in Brazil and Marco of course will elaborate. The second one was a little less clear, so could you repeat that second part?
Justin Funnell – Credit Suisse: Yes. So you were putting up a line rental in Q4 in Italy. But equally, I think in the past you’ve said that you would at the same time, adjust down some of the call charges, the over use [ph] charges for voice in Italy. I’m not sure if that’s still true, but overall what is the likely effect on fixed line revenues in terms of the year-on-year growth rates or growth have declined net-net from these adjustments in Q4.
Marco Patuano: Okay. I’ll take the first on Brazil and then I leave to the Head of Domestic Consumer for the second. Perspective in Brazil. I think the season of making – using the voice as the main tool and the convenience on the voice as the main tool is going to be over in relatively short time. A very important characteristic of Brazil is that the market reacts very fast. So once, for example, the customer becomes an internet user, mobile internet user, the adoption of over-the-top communication solutions becomes very fast. So the swing from SMS to WhatsApp messaging is extremely fast. So what we continuously keep monitoring is how much we increase in terms of revenues and profitability coming from data, and how much we lose in coming from user to both on SMS and traditional voice. The balance today is significantly positive, significantly. I mean, in the last quarter we made a punctual analysis and it was extremely evident. Now I think that short-term, the battlefield will be 3G and 3G coverage and expansion of 3G coverage, so making the 3G network more geographically wide, but the 4G – what we saw in Europe is that 4G is not just a faster network, it is a completely different user experience. And so this user experience have to be transferred also to Brazil. The fact that we are in 4G, only three players, is really an important message. And mid-term, it will be – if the market does not consolidate, it will be really a crucial weapon to have if you want to play in the market. So I think that even in the case which is our base case, we remain pure mobile having the 4G, I don’t see mid-long-term a fatal problem in our positioning. Last, I think that also in Brazil, once we complete the expansion program, we have to progressively enter into more efficiency, because margins tend to be improvable. I leave for the second question to Stefano De Angelis, who is the new Head of the Consumer Department.
Stefano De Angelis: Yes, good morning everyone. The action we are now taking in November, we have to divide in two different actions. One is the uplift in the monthly rental fee. This clearly has a positive impact in our results. We expect this impact to be in a range of, let’s say, five million per month, just considering that this is going to be applied only for the customers who doesn’t have a broadband voice – broadband flat and voice solution. This apply to the traditional monthly fee. On the voice side, we are continue to simplify the tariff schemes and now we are eliminating the set-up fee that is something that’s – it’s a vintage, an old fashion way of applying tariff to the customer base. So with this, what we are expecting? We are expecting a positive impact in terms of elasticity, and we can sum up other millions to the basic positive impacts of the monthly fee. Our strategy on the same time remains focus on the flatization of our customer base. We want to give value to the fixed line and we have to remember that we have approximately five million customers who doesn’t have broadband and that spend more than EUR 20 per month, and we need this customer to continue to use the voice, just to give value to the copper that we have for these customers. And for this, we have to do strongly incentivize the flatization of these customers, and this will be the main focus for the 2015 commercial strategy of Telecom Italia. Thank you.
Justin Funnell – Credit Suisse: Thank you very much.
Alex Pierre Bolis: Thank you, Justin. Next question please.
Operator: Next question comes from Ms. Micaela Ferruta from Intermonte SIM. Ms. Ferruta, please.
Micaela Ferruta – Intermonte SIM: Yes, Micaela Ferruta from Intermonte. One question on the business and corporate segment. I was positively impressed by the performance in domestic, and ICT in particular, and we’ve seen good numbers at FastWeb as well. So I was wondering if you can elaborate whether something has changed in the offers or business climate? And more generally, if you see a similar improvement possible in corporate trends in mobile as well as fixed, over the coming quarters? Thank you.
Alex Pierre Bolis: Thank you, Micaela. Simone Battiferri, our Head of Business will take your question.
Simone Battiferri: Hello to everyone. Yes, what we are seeing in the market is, on one side, the companies are trying, shy away, but are improving a little bit their investment attitude. And it seems to me that especially in the mid-to-long market, there is a better sensibility towards the digitalization. So we are looking at a little ramp-up that is a very good hope for the next future to be sustainable in the mid-term. On the other side, also on the mobile, especially on the highest part of our market, we are seeing a deeper diffusion on data usage. This is not so in to depth, because you can expect that in the upper part of the market there is a lot of usage of data, but the reality is that in the companies, there are big parts of the employees that were out of this type of offering for long time. Now also boost from the consumer behavior, the companies are introducing more usage package also in the lower part of their employees. So we are assisting and improving performance also in the segment. You have also to consider that the mobilization of the working life is also pushing the adoption of tablet or tablet-like PC. So also the mobilizing of application is pushing a little bit this market.
Alex Pierre Bolis: Are you okay with that, Micaela?
Micaela Ferruta – Intermonte SIM: Yes, thank you.
Alex Pierre Bolis: Thank you very much. Next question please.
Operator: Next question comes from Mr. Giles Thorne from Jefferies. Mr. Thorne, please.
Giles Thorne – Jefferies: Hi there. Thank you for taking my questions. It was on the domestic fixed side of things, and just picking up on Vodafone’s entry into the convergence market as well with the Relax Casa tariff. It looks like their pricing isn’t that disruptive. There is a handset subsidy embedded in that pricing. Nonetheless, given where your pricing is, the significant discount to everyone who is offering convergence tariffs, do you feel you’re at a point where you could perhaps unwind some of the implied discounts to the some of the constituent parts, or is it a bit too early? Thanks.
Alex Pierre Bolis: So basically it was a question on further discounting on convergent offers. Was that correct?
Giles Thorne – Jefferies: Well, not further discounting, actually unwinding some of the discounting.
Alex Pierre Bolis: All right, unwinding, okay. That’s good. Yes. Okay. Thank you.
Marco Patuano: Marco speaking. I think that the Italian market differently from other European markets, have introduced the convergent offer after big price wars. So the starting point – so the convergence fee was not tool to reprice or to reset pricing, because there was little to reprice, especially on the mobile. So the concept underlying now is, how can I transfer to the customer some further interest, something that is really interesting for them? Yes, there should be some price down, but shouldn’t be the major driver for our convergent offer. And this explains why we didn’t reach the very important numbers that, for example, in Spain or in France, it has been reached. Now what’s going on? I think that, going on, there will be a broader variety of alternatives in the convergence. So you will have super performing convergent product on fiber. You will have convergency including contents. So it will be fixed broadband plus mobile plus video content. We will see potentially also some convergent products that will be based mostly on voice. For example, senior people who don’t use the broadband at home, but could be interested in having a bundled proposition in voice and then a data-only customer. So we are also looking for smart convergent data-only offer. So pure data mobile and pure data fix, which could be eventually interesting. So in our case, different from other markets won’t be a price-driven product. It will be really a tailor-driven product.
Alex Pierre Bolis: Thank you very much. Next question please.
Operator: Next question comes from Mr. Jonathan Dann from Royal Bank of Canada. Mr. Dann, please.
Jonathan Dann – Royal Bank of Canada: Hi everybody and thank you. Two quick questions. One, if you were to extend the VDSL footprint to, say 70% coverage, is that a material increase in the CapEx envelope? And then secondly, just a general one. I think you mentioned in the last comment, various parts of older people might want fixed priced broadband. Are there any other ways in which you can invest to promote and stimulate broadband take-up?
Alex Pierre Bolis: Thank you, Jonathan. Marco will take of course your questions.
Marco Patuano: 70% reached when? Because the question is not how big has to be the coverage, it’s how fast we want to make it. So if you ask me – if I take your question from a different angle is, when you will reach 70% coverage? I would say, it depends very much on potentially some public funds that can be added, and as we did in the south of Italy. In the south of Italy, we had European funding programs, who are helping us to accelerate in several regions, the infrastructure building. We assume that some regional programs can be developed also in other areas of the country. And of course it’s also a matter of the balance between what we want to do in terms of coverage and what we want to do in terms of increasing super-fast ultra-broadband, FTTB, FTTH. I think that it would be a balance among the two. In any case, I think that 70% target is something we can consider feasible. In total, let’s assume that what remains out today is a total spending of EUR 2 billion, in order to reach the 70%. And if you put this figures – of course good part of this figures is already in our plans. So what I want to say is, the additional amount is not something enormous, it’s important, not something we cannot reach. And it will depend significantly if there will be a sort of public private funding in some areas and it will drive very much the speed of the realization. Sorry, I don’t remember the second question. I’m getting old.
Alex Pierre Bolis: Talking about incentivizing the older cluster of people.
Marco Patuano: Not only older people, but how we can increase the penetration in the broadband. Keep in mind that today, Italy is the country in which we have the largest number of mobile-only customers. So our estimation is that we have eight million mobile-only customers, mobile-only families, not only customer, mobile-only families, which can be translate in eight mobile-only households. It’s a huge number. And I think that a good part of the strategy going forward of, especially the consumer department, is how to increase – how to win back on the fixed technology those mobile-only. For the enterprise segment, the percentage of enterprise is that already have broadband connectivity is only 70%. So we have another 30% of enterprises who today are not substantially using the broadband technologies. So I think that what we have to keep in mind is not only how to upgrade existing customers, but there is also an important cross technology win back or upgrade that is still available in the market. Did I answer?
Jonathan Dann – Royal Bank of Canada: Yes, thank you. Can I ask a slight follow-on? Current line loss, how many – what percentage of line loss is to mobile-only nowadays?
Marco Patuano: You mean mobile substitution?
Jonathan Dann – Royal Bank of Canada: Mobile substitution, yes.
Marco Patuano: I think it’s approximately 100%. So I mean everybody who leaves – no, there are somebody who die, but all the others move from fixed telephony to mobile telephony. We made – without joking, we made an important research in the consumer segment, how important is the economic effect? We started asking ourselves, is it an economic problem? And what people told us is, not necessarily, is that if I have adjusted to use voice, I use the mobile because I have the agenda, I have – it’s much more easy to use, and it’s cheap. So it’s value for money. To be serious, in the enterprise segment, there is another important change, which is not ending in mobile substitution. So the more the enterprises start to adopt voice-over-IP in the fixed, the less they need one line per user. So they buy a broadband connectivity, they use a voice-over-IP switch and then they don’t need probably three, four, five lines that they had in the past just to satisfy their voice needs. So there are two elements. One, consumer is lack of value in the pure voice, once you can have the same service for mobile at a decent price, and technological driver in the enterprises is especially once voice-over-IP is introduced. Okay?
Alex Pierre Bolis: Thank you, Jonathan. Next question please.
Operator: Next question comes from Mr. Martinez Stanley from Legal & General. Mr. Stanley, please.
Martinez Stanley – Legal & General: Good afternoon everyone, and thank you for taking my follow-up question on fixed ultra-broadband. So I presume that none of the 151,000 retail subscribers have adopted Sky content, and it sounds as though, you’re willing to expand NTN coverage of accesses beyond 50% as the cost to connect falls. So my question is, as we look ahead to 2015 and the wholesale distribution agreement with Sky Italia, could you contemplate changes there to exclusivity in MDUs via a true IPTV content delivery platform? I know that it might not be the current proposition, but are you willing to incur the costs of the dilution of IPTV subscriber acquisition against some of the cost savings you’ve talked about earlier, because clearly it seems as though a lot of this change in Italy since FastWeb launched their IPTV product 10 years ago, but not least of which on the network layer at Telecom Italia, and maybe that plays into your strengths to lead the evolution of the market into afore play, like you’ve seen in other European markets, but what are your thoughts on that?
Marco Patuano: I think the video strategy will be crucial in the coming future. The real question is, what is the model we are going to adopt and what is the technological platform we’re going to adopt? So let me start first from the second, which is easier. I think the traditional IPTV is over. The new way to deliver TV is an hybrid between the pure over-the-top television platform and something that has some characteristics of the former IPTV. If the customer just wants video-on-demand or subscription video-on-demand, the platform would be purely over-the-top. If we have to add some features in linear contents, it will be necessary to use part of the platform that is more or less hybrid in terms of IPTV. Then we have the model, we have to use in order to deliver services. There are different models. One is, I buy contents and the other can be, I become a hub for third-parties. Again, I think it will be, to some extent, a mix of the two. We will continue to buy some contents, in order to have a sort of a proprietary platform that we can give as an entry level for our convergent customers in subscription video-on-demand. The cost of these contents has to be between EUR 30 million and EUR 40 million. Between 2014, we are already in EUR 30 million. We can imagine that we can grow up to EUR 40 million. So we don’t imagine something BT like, so big investments in huge content acquisition. I think that we have in mind is, yes, we want to keep some proprietary contents and then we become hub for agreements with traditional content platforms.
Alex Pierre Bolis: Thanks for your interesting questions, Stanley. Next question please.
Operator: Next question comes from Mr. Paul Marsch from Berenberg. Mr. Marsch, please.
Paul Marsch – Berenberg: Yes, thank you very much. Back to Brazil again. You commented earlier that, plan A, is to stay in Brazil as you are. So, are you today in a position to say that you’re not interested in buying Oi or any joint-venture or merger between TIM and Oi, or do you see that there is still an opportunity to explore some kind of strategic development in that direction?
Marco Patuano: Thank you for such a clear question, so I can give you a clear answer. I think that is mandatory to explore the possibility of such a big strategic opportunity, but as I told, financial discipline and value creation for shareholder is our north pole. So we are not desperate, we don’t want to make it at any cost. We can keep our strategy. So there is an opportunity. We will explore the opportunity. Definitely we must as a management team, answer to our shareholders that we have explored this opportunity. And if we can have a good deal, we will propose, but it’s not mandatory. And this is important to say, I think we demonstrate we are good in making our analysis, fast to react. The board is with us. The board is compact, and we have no more any conflict in our board. The governance is best-in-class. And so I feel very, very comfortable in making the analysis, discuss with the board and if there is a good opportunity to create value, we will be there.
Paul Marsch – Berenberg: Thank you. That’s very clear. Maybe I could just ask a follow-on, because nobody else has asked this question. Back in Italy on mobile data growth, there was a 50% sequential increase in internet content revenues. I think you went from something like EUR 60 million to EUR 90 million in Q3. Can you just elaborate on what drove that, and what does that relate to, and is that a new kind of recurring level we can think about, going forward?
Marco Patuano: Yes, it’s something recurring. It’s not something one-off. There are two different explanation. One is new content that are growing, which is good. Just for you to know, we are the largest platform to distribute music in Italy, much larger than the others in streaming. The product name is TIMmusic, and it started at something that the customer almost did not perceive and today it’s a platform that is well known. The second is something new that the whole market leader, we were not the only one – I think that we have been the ones who started first, but now it has been replicated by all the others. It’s a service that we were giving for free to our customers, how can I translate that, [Foreign Language – Italian] which is if you try to call somebody and the person is unavailable to answer offline for any reason, you receive an SMS once he is back online. It was provided for free. And now we charge on a monthly basis a tiny amount. We communicated to the customer. We communicated via SMS to every single customer. We are talking about EUR 0.49 a month. And the level of this connection from the service has been minimal, but we had some. So it means that the customer is aware that now he is paying. There has been a debate on forums, but it’s there. Vodafone is doing the same and Wind is doing the same. So now it’s a market standard. And so it’s something that is healthy.
Paul Marsch – Berenberg: Thank you very much.
Marco Patuano: You’re very welcome.
Alex Pierre Bolis: Thank you Paul. Next question please.
Operator: Next question comes from Mr. Fabio Pavan from Mediobanca. Mr. Pavan, please.
Fabio Pavan – Mediobanca: Yes, hi. Thank you for taking my question. It’s a very quick one on LTE. Given the good results we are approaching not thus far the one million user threshold. And so my question is, do you have any estimate of potential number of users by the end of this year, but also most important, for an estimate for 2015 that you would like to share with us? And also second part of the question is, this increase in data usage is having an impact on the monthly ARPU, is something that we can elaborate? Thank you.
Marco Patuano: Yes, so two questions. One, number of customers. Today, we’re adding more or less 300,000 to 400,000 per quarter. This is more or less what’s going on today, but I think that it’s hard to use this number as a forecast for 2015, because the portfolio, you know that we offer to our customers, the so-called, best technology available concept.
Fabio Pavan – Mediobanca: Yes.
Marco Patuano: So we price 3G and 4G. So we give directly 4G if the customer has a 4G handset, we give 4G. And so the real question is how many 4G devices will be available in our portfolio in 2015? Now, we are working very hard with device manufacturers in order to have low entry cost handsets, in the range of EUR 100 to be clear, with enabled to 4G. And we start to see good products in the market from Korea, from China. And so I think that this number we see in 2014, in 2015 will be significantly higher. Keep in mind that every year we sell more or less between 3 million and 3.5 million smartphones. So this is how you have to change your perspective. The second part of your question is ARPU increase. Yes, there is an ARPU increase coming from data. If you look at Q3 versus Q2, we had an ARPU growth and outgoing voice was stable, incoming voice was stable, and the growth was coming from data. To give you an idea in terms of data ARPU of a 4G customer is a bit less than the double of the 3G customer, in terms of data ARPU. If you take a total ARPU of a 4G customer and you compare with a 2G customer, it’s well above the double. It’s almost 3x. So 4G is really an important booster of the customer value. Did I answer?
Fabio Pavan – Mediobanca: Yes, thank you very much. Very clear.
Alex Pierre Bolis: Thank you, Fabio. We are moving now to the next and last question. Unfortunately we need to wrap-up. Of course at the IR level, we’ll be happy to continue taking other questions after this.
Operator: So the last question comes from Mr. Hannes Wittig from JP Morgan. Mr. Wittig, please.
Hannes Wittig – JP Morgan: Yes, hello. I just wanted to go back actually to a previous question, which related to cost savings in – or the progress with cost savings. At this point in time, are you ahead of your cost saving targets for this year? The reason why I’m asking is, because you had guided that in 2015 cost savings would exceed those that you were planning to achieve in 2014. So I just wondered if that was still the case and you were still expecting to save more costs in 2015 relative to 2014. And of course in that context, how do you currently feel about domestic EBITDA stabilization, as you had previously been hopeful to achieve I think next year?
Alex Pierre Bolis: Sorry Hannes, we get it’s about costs, about EBITDA, but could you just summarize your question, because we didn’t hear the first part of it?
Hannes Wittig – JP Morgan: In the November 2013 strategic plan, you guided for greater cost savings in 2015 and in 2014. And I wonder given the progress that you have seen to-date, whether you would still see greater cost savings in 2015 than in 2014?
Alex Pierre Bolis: It’s very clear, as we’re talking about our OpEx efficiency plan.
Piergiorgio Peluso: Okay, thank you for the question. On the cost, as I said in the presentation, in 2014, we had a target of EUR 200 million of reduction of OpEx. And as I said, we already obtained these results at the end of September. So we had – we have also one quarter in addition to have results greater than EUR 200 million. On this we had two comments. The first one is that in 2015, we are forecasting a similar reduction in OpEx and we are also working on several additional cash cost project, like as Marco said, the insourcing, the network transformation, delivering in commissioning [ph], IT transformation, real estate space planning and the next plan we are – in the next industrial plan, we are considering having also some additional cost cutting projects in addition to what we already presented to the market in the last industrial plan.
Alex Pierre Bolis: Are you happy with that Hannes?
Hannes Wittig – JP Morgan: Well, yes, the second half of the question was, how you would – how you currently feel about stabilizing domestic EBITDA, because that was something you had mentioned in the second quarter conference call for next year, I believe?
Piergiorgio Peluso: Yes, also in this case, the stabilization of the EBITDA is confirm, it is our objective and we think that in 2016, last part of 2015 will be our primary objective, particularly to the cost cutting process that we are trying to put in place.
Hannes Wittig – JP Morgan: Okay, thank you.
Piergiorgio Peluso: Thank you.
Marco Patuano: Okay. Marco Patuano speaking. Thank you everybody to participate this call. I think we had opportunity not only to show what is the performance that we are delivering in Q3. So it’s long time we are saying that second half 2014 would have been an inflection point of our mobile. Very honestly, there is still a lot of work to do. We are very concentrated and we are very disciplined. I know there is a lot of noise around us about M&As. We are rational. We are not making anything that will be dangerous for our shareholder. I’m sure that we will deliver a better company in the near future. Thank you everybody.
Alex Pierre Bolis: Thank you, Marco. Thank you everybody for participating. Have a very good afternoon and a good weekend.
Operator: Ladies and gentlemen, the conference is over. Thank you for calling Telecom Italia.